Operator: Greetings, and welcome to Twin Disc Fiscal Third Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jeff Knutson, Vice President of Finance, Chief Financial Officer, Treasurer and Secretary. Thank you. You may begin.
Jeffrey Knutson: Thank you, Doug. Good morning, and thank you for joining us today to discuss our fiscal third quarter 2023 results. On the call with me today is John Batten, Twin Disc's CEO. I would like to remind everyone that certain statements made during this conference call, especially statements expressing hopes, beliefs, expectations or predictions for the future are forward-looking statements. It is important to remember that the company's actual results could differ materially from those projected in such forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in the company's annual report on Form 10-K, copies of which may be obtained by contacting either the company or the SEC. Any forward-looking statements that are made during this call are based on assumptions as of today, and the company undertakes no obligation to publicly update or revise these statements to reflect subsequent events or new information. During today's call, management will also discuss certain non-GAAP financial measures. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. By now, you should have received the news release which was issued this morning before the market opened. If you have not received a copy, please call our office at 262-638-4000 and we will send a release to you. Now I'll turn the call over to John.
John Batten: Good morning, everyone, and thank you for joining us today. I'd like to start today's call with a few highlights from the quarter. Strong demand across our end markets, coupled with an easing supply chain constraints and, in turn, higher shipments translated into a 24% increase in sales year-over-year and double-digit sales growth in our North American and Asia Pacific regions. . Margins were adversely impacted by multiple factors, including a noncash LIFO charge related to a reevaluation of inventory and higher costs that more than offset the pricing actions we implemented mid-quarter. Normalizing for the noncash impact to margins, the operational accomplishments of our team would have resulted in sequential margin improvement, which has been and will continue to be a top priority. Further, we also generated nearly $7 million of cash from operations and ended the quarter with our highest backlog in more than 4 years and that's largest backlog ever. We have already taken a number of actions to respond to headwinds stemming from supply chain constraints and higher costs and we have been working with other strategic vendors to source components that are in short supply or that are currently sourced from a single supplier. The operational accomplishments of our team led to a significant improvement in shipments which will allow us to continue to decrease inventory and further improve lead times. I'm also encouraged by the results we are seeing from our collaboration between Veth and Rolla. The Veth team has been working with our propeller manufacturing, include more Twin Disc content in their designs and provide a better overall product to customers. There has been a noticeable increase in the number of applications of our hybrid and electric offerings, and we are seeing a correlated increase in new orders as a result. Our Marine and Propulsion Systems product group continues to experience strong demand across end markets. We are seeing more activity within offshore oil and gas, which has translated into offshore oil supply vessel increase, something we haven't seen in several years. As the geopolitical environment in the South Pacific continues to evolve, we've concurrently observed a significant increase in the number of inquiries from U.S. and European governments for small military marine transmissions used in shallow water boats. Veth has had a number of wins recently and has experienced its geographical reach beyond its core Northern European markets, booking orders across North America, Asia Pacific and the rest of Europe, including Italy, which is a key luxury yacht market. We're excited about those -- we're excited about what those opportunities represent. On the Land-Based Transmissions side of our business, the lack of oil and gas investment over the past few years has increased utilization and the need to rebuild or replace fleets. That said, as we continue to see elevated demand with the oil and gas end market, customers continue to face constraints on new engine availability from third parties, which has led to delayed orders for new transmissions. Instead, we've experienced increased orders for rebuilding existing transmissions, work we are uniquely positioned to complete. Our e-frac testing continues to progress and the feedback on the results to date remain extremely positive, and we anticipate orders to begin shortly after this fiscal year. Within the Industrial product group, we continue to experience stable demand across end markets and have been able to maintain volumes in line with the spike observed last year. While still early days, there has been a noticeable increase in opportunities to work and to partner with key domestic OEMs on a variety of exciting projects. Additionally, we have seen a number of hybrid and electrification system applications continue to grow. The greater Twin Disc content in these systems presents an opportunity to accelerate sales growth and expand the margin profile for the Industrial product group. Focusing on inventory and backlog for a moment. Strong end market demand persisted throughout the quarter, resulting in our highest backlog level in over 4 years. And easing supply chain headwinds and operational execution enabled Twin Disc to significantly improve shipments and reduce inventory on a dollar and percentage of backlog basis. We are still experiencing shortage of certain components or materials and are working to find alternatives to mitigate these headwinds as we experience or are able to find and -- able to anticipate them. For example, one of our major suppliers hasn't been able to source enough material for a graphite ring that seals inside of a piston. We've explored alternate suppliers as well as a change in material. Either path requires significant lab testing for extended time periods which presents its own challenges. That being said, the bulk of the supply chain headwinds faced in prior quarters like heat treatment and capacity constraints started to subside in the third quarter, and we expect those trends to continue. As we navigate and respond to each challenge that our business faces, we evaluate our options based on how they align with our commitments and long-term strategy. We strive to be the leading hybrid and electric solution provider for our marine and off-highway land-based applications. As we look to the future, it is clear the control system -- controls and systems integration provides greater sales and margin opportunities than a continued focus on individual components would. We've also noted that the Veth business had a lot of success recently, and we expect that trend to continue as we extend and expand that business across geographies and markets. As with the acquisition of Veth, our M&A priorities continue to be focused on industrial and marine technology, especially for the hybrid and electrification solutions where we strive to be the leading provider. Further, we need to modernize and optimize the global footprint of our business to be more efficient and improve customer response and lead times. As we think about capital allocation and more specifically, returning capital to shareholders, I think it's important to clarify our approach. First, we will continue prioritizing the reduction of net debt, which we've been able to accelerate in recent quarters as we've closed on the sale of various facilities around the world. Second, Twin Disc has historically paid a dividend to shareholders, and we have a strong desire to resume paying a dividend. However, we won't use debt to fund it. We will only resume the dividend after we've established a track record of free cash flow generation and have a positive outlook on the cash generation potential for the business. We continue to make investments within our business to fuel growth through research and development, geographic diversification and expansion and our marketing efforts. We will also continue to evaluate and pursue bolt-on and/or transformational acquisitions that align with our strategic and financial fit characteristics as well as other considerations, which we've consolidated on Slide 9. As we look forward, I think it is important to provide clarity around our near-term expectations of external factors and the actions we are taking in response. We expect broader manufacturing and supply chain headwinds to continue to moderate, while acute component shortages especially those sourced from European suppliers are likely to persist or resolve and then reemerge elsewhere in the portfolio over the next several quarters. We are doing what we can to anticipate and to address these headwinds as early as possible. We have not experienced a reduction in raw material costs despite the lowering prices of key commodities. Our pricing actions to restore and protect margins are already in effect. And at the moment, we do not expect lower raw material cost to be the material driver of margin improvement in the near term. Our team continues to progress on our plan to modernize our legacy facilities, equipment, processes and geographic footprint. This work has and is expected to continue to deliver improved shipments, lower inventory, reduce lead times and lower cost, all of which will contribute to better margins and cash flow for Twin Disc. With that, I will now turn it over to Jeff to discuss the financials. Jeff?
Jeffrey Knutson: Thanks, John. Good morning, everyone. We delivered sales of $73.8 million for the quarter, up $14.5 million or 24.4% from the prior year, driven by strong demand across our end markets, especially within our Marine and Propulsion Systems and Land-Based Transmission product groups. As John mentioned, shipments improved significantly in the quarter, and we are seeing light at the end of the tunnel for our supply chain. Net income attributable to Twin Disc for the quarter was $2.7 million or $0.20 per diluted share compared to $2.2 million or $0.17 per diluted share in Q3 of fiscal '22. The approximately 20% year-over-year improvement in net income was primarily the result of our sales performance and lower income tax which was driven by the geographic mix of earnings. Marine and Propulsion Systems and Land-Based Transmissions both delivered double-digit growth sequentially and year-over-year, while our Industrial Product Group delivered another quarter of sales in line with expectations. Looking at sales by geography. We saw year-over-year and sequential increased sales within North America and Asia Pacific regions were primarily driven by efforts to diversify the Veth business outside its core Northern European markets. That has had a number of wins recently and currently boasts a record high 12-month order backlog. We see a clear path to further growth in this business. As John mentioned, within the electric yacht market, Veth is now partnering with Rolla, our high-end propeller design and manufacturing firm to design and develop components that are more fluid dynamic and leverage additional content from Twin Disc. Gross margin of 26.1%, a decrease of 370 basis points from the prior year period were negatively impacted by a noncash write-down of domestic inventory as a result of LIFO accounting in the quarter. We expect this to similarly impact Q4 as we continue to reduce inventory to pre-COVID levels. As John noted, we have seen commodity pricing continue to trend down, but that has not yet translated into decreased prices for our raw materials. Twin Disc doesn't buy raw steel, instead, we buy forgings or castings, which have held firm on pricing to date. We expect our raw material pricing to remain elevated throughout 2023 and implemented additional pricing early in the third quarter as a result. I want to take a moment to highlight the progress we've made with our balance sheet and leverage ratio since the end of fiscal '22. In 3 short quarters, we've been able to reduce net debt by approximately $7 million. Our cash position is now $14 million, which is approximately 12% higher than at the start of fiscal '23. EBITDA is up 14.8% compared to the year ago period, primarily driven by higher depreciation and amortization with net debt of $17.3 million at the end of Q3 and EBITDA over the last 12 months of $23.4 million. Our leverage ratio has gone from 1.1x to 0.7x in just 3 quarters. The balance sheet progress we've achieved is foundational to our pursuit of bolt-on or transformational M&A opportunities as well as a key factor in our ability to optimize the global footprint and operational efficiency of Twin Disc. Building on the near-term expectations that John laid out, I'd like to take this opportunity to reaffirm our medium-term targets. Over the next 3 to 5 years, we believe the execution of our strategy will deliver revenues of approximately $400 million with gross margins of 30%. To get there, we will need to take advantage of and extend our leadership position across hybrid and electrification opportunities, continue expanding the geographic reach of the Veth business and evolve our business practices to adapt to the ever-changing operational environment. We also see a path to delivering consistent free cash flow conversion of 60% through streamlined supply chain operations, optimizing our manufacturing footprint and remaining disciplined with our capital spending. And before we open the line for questions, I'd like to leave you with a few key takeaways. The robust demand and sales momentum experienced in Q3 is expected to continue through Q4. We've seen the bulk of our supply chain headwinds moderate and are working to resolve component shortages faced in the quarter. Our teams have been working tirelessly to improve our operational efficiencies, and that has allowed us to ramp up shipments in Q3 and position Q4 for success. I think it is also important to highlight our current capital allocation priorities, framework for M&A opportunities and reaffirm our confidence in our strategy and ability to achieve our medium targets -- medium-term targets. That concludes our prepared remarks. John and I will be happy to answer your questions.
Operator: [Operator Instructions] We do have a question from the line of Simon Wong with Gabelli Funds.
Simon Wong: Just starting with the oil and gas business. How big -- how much revenue was that in the quarter?
Jeffrey Knutson: So it's a little bit hard to break that out real cleanly, but it was obviously a big part of the quarter, aftermarket and forward market. I would say, 25% to 30% in the quarter, top line.
Simon Wong: Okay. Is that -- how much is that new equipment versus consumables or aftermarket?
Jeffrey Knutson: I would say it's probably more than half aftermarket, maybe 60-40 aftermarket versus new equipment, with most of the new equipment headed to Asia.
Simon Wong: Okay. I'm sorry, just to clarify, the 25% to 30%, is that total or -- of total revenue or just land-based transmission?
Jeffrey Knutson: Total.
Simon Wong: Okay. And then staying on the oil and gas, what are you seeing from your customers? I mean, given the recent volatility in oil prices and lower natural gas prices, are they continuing activity? Or are you starting to see them park equipment? I mean what are you seeing there?
John Batten: We -- so Simon, we haven't seen any slowdown in the rebuild activity. They may have idled some equipment, but I think it's mostly equipment that needs to be rebuilt or replaced. And every conversation that I've had, whether it's for Asia or North America, the rebuild activity is going to continue, and they are actively looking at new spreads because some of the -- particularly in North America, traditional frac rigs are going on their fourth, fifth, maybe sixth rebuild. And there's still -- there's -- we're seeing that, that is going to continue through the rest of the calendar year. And availability of engines is still out a couple of quarters. So we probably won't see a significant attritional frac fleet, some build, but I expect to see that at the end of this calendar year.
Simon Wong: Okay. Great. And then one more oil and gas question. In your last up-cycle, how big was the offshore part of the business for you guys?
John Batten: Simon, offshore was historically a very big component. But I would say just that -- that was probably high single digits, 10% of our business when it was at -- when it was near its peak.
Simon Wong: Okay. 10% at its peak. It can be a meaningful contributor going into the next few years if offshore really comes back as the industry saying it is. Okay. Just one last question, and I'll jump back in the queue. Outside of oil and gas, anything indeed on your new product pipeline that you're excited about, that you can talk about?
John Batten: Well, just I would say a lot of the industrial products, some of our PTOs, whether it's electrically shifted or hydraulically shifted, those are starting to gain traction. And really what's exciting are the amount of hybrid and electrification applications, projects, quoting that we're doing and the systems, the Hinckley is the one that we've been able to talk about, but we should have some exciting industrial ones to talk about. And I'm guessing we'll have through this calendar year, certainly next fiscal year, a lot more coming out where the full system is provided by Twin Disc. So a lot of control development. And that's been a bit -- I mean our controls group has done an amazing job resourcing a lot of just the base components that were in such short supply over the last 12 to 18 months.
Operator: There are no other questions in the queue. I'd like to hand the call back to management for closing remarks.
John Batten: Thank you, Doug. I just wanted to take a moment to thank our teammates around the world for their perseverance and hard work. Please reach out if you have any further questions for Jeff or me. Have a great rest of the day, and we look forward to speaking with you at our fiscal '23 year-end conference call later this summer. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.